Operator: Thank you for standing by and welcome to the Sandfire Resources Financial Results FY2023 Conference Call. All participants are in listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions]  I'd now like to hand the conference over to Mr. Brendan Harris, CEO. Please go ahead.
Brendan Harris : Hello, and good morning from here in Perth. My name is Brendan Harris, and I'd like to welcome you to our financial results conference call my first as CEO, we're thrilled to have the opportunity to connect with you again so soon after our June quarterly call because we're excited about the future. Copper will play an increasingly pivotal role in global mobility with the proliferation of electric vehicles and the delivery of carbon emissions free energy, irrespective of its form of generation. With our strategic positioning to highly prospective copper belts 50% growth in copper equivalent production, and the potential to advance a broader suite of development options, it's hard to imagine a better place to be than Sandfire.  As you may know, I've been in Botswana since we last spoke for the official opening of our newest mine, Motheo. And I must say it was one of the most humbling experiences of my career, and a day where we could all celebrate the incredible contribution of the team that discovered and developed this wonderful mind.  I'll provide another important update on that in a moment. But before I do, I'd like to welcome my colleagues to the call. Matt Fitzgerald, our CFO for his last results conference call with Sandfire; Jason Grace, our COO, Richard Holmes, our CGO, Scott Brown, our CPO, and for the first time, Catherine Bozanich, our new CFO, and Victoria Twiss our new CLO, and Joint Pro-Sec [ph]. A very warm welcome to the two of you.  We're going to stick with the format of our last call, given the positive feedback we received all talk to our key highlights for the year. And the strong outlook ahead before quickly turn into Q&A. So you can again, direct us toward the questions on your mind. But first, I hope you've seen our new shared purpose that was co-created by team members from across the organization in the last five months.  We mined copper sustainably, to energize the future. Each world has real meaning for all of us. We're particularly proud to be part of the mining industry, part of our local communities, helping to make real change for the better. And we have to work safely every day everywhere protecting each other and the environment. Because if we're to be the successful and sustainable mining company, we must do the basics well.  That's how we'll protect, generate return and recycle capital over the longer term, and grow per share value for our owners, and create lasting value for our communities and host governments. And that's a perfect segue to our refined strategy.  You'll see it on Slide 19 of the presentation we released today. Admittedly, it's not rocket science. It's intentionally simple by design, and sharpens our focus on five strategic pillars, empower our people and define clear lines of accountability, deliver safe, consistent, and predictable performance, reduce our carbon intensity, increase our reserves, and demonstrate capital discipline.  You'll see in the Quick Reference Guide in our slide deck that we've aligned our achievements for '23 and our commitments for FY24 With these key strategic pillars, so to the empowerment of our people, we were pleased to have 73% participation in our latest people survey and see that 84% of our team members are connected and engaged with the business. As we share our personal stories and foster a shared belief in our new purpose, we will build on those great outcomes, including our record safety results. I firmly believe that having a safe business is not only non-negotiable, it's at the core of productivity.  We're also building the foundations at MATSA for more consistent and predictable performance. You'd recall copper equivalent production of 99,000 tons marginally exceeded revives guidance for the year, and we're looking to grow production by 3% this year. We also did relatively well on costs, and we're looking to deliver a modest reduction in underlying mining costs next year in Euro terms for a mine operating cost of $78 per ton. You've no doubt seen that our depreciation guidance at MATSA was broadly on the money while capital expenditure was at the bottom of the guidance range.  MATSA's D&A charge will of course, decline as the acquisition is amortized primarily overnight reserves, while capital expenditure of MATSA should stay relatively steady year on year at $117 million, with continued investment in underground development and ventilation, designed to open additional mining fronts, and established degrees of freedom so we can push mining and processing rates to 4.7 million tons per annum in the medium term.  And as I said on our last call, we'll also build around 100,000 tons of ROM stocks so we can better optimize our processing blends, and increase recoveries, particularly for copper in our polyline.  Shifting gears to Motheo we know it's time to deliver, it's as simple as that across the first 50 days of FY24, Motheo operated at an annualized rate of 2.8 million tons per annum on average, achieving a maximum copper recovery of 95.9% and produced approximately 14,000 tons of concentrate with an average copper content of around 30%. It's still early days, but we couldn't be happier with the performance of our processing circuit. And I'm pleased to say that Motheo has achieved commercial production, and it will be consolidated in the group's P&L from the commencement of FY24.  In further good news, our operating and capital expenditure projections continue to align with the definitive feasibility study estimates. But as a word of caution, we wouldn't be surprised to ultimately see a 5% to 10% increase in Motheo's previously disclosed life of mine C1 unit cost of $1.47 per pound, even though we're yet to see the impacts of inflationary pressure. Given the outstanding planning and execution credentials of our project team, it's hardly surprising that our $397 million capital expenditure estimates for the overall 5.2 million ton per annum project and the first written profile, the T three and a four are both tracking to plan.  In readiness for the projected kick in throughput from the end of CY'23, we're also in this vesting $27 million in FY24 to complete the construction of the second cell of our tailings stack. Having been granted approval for the extension of our mining license to encompass a four, we are firmly on track to produce more than 50,000 tons of copper at Matheo in FY25.  More broadly, we've made an important commitment today to reduce our carbon emissions by 35% by FY25, from our FY24 baseline that of course includes Matheo. Our granular pathway to achieve this important goal is set out on Slide 20. Well MATSA starts in a privileged position having access to 100% carbon emissions free electricity, Motheo will require direct investment and supportive policy change. And we've included around $21 million in this year's budget for the construction of a dedicated solar array that will reduce carbon emissions by around 60,000 tons.  It's too early to determine if this investment will be added to our capital expenditure guidance for FY24 as its treatment will depend on the ultimate form of any agreement. From there to support ongoing investment in the decarbonization of our business, we need exploration success, more reserves, and longer mine lives, of course to underpin the economics.  With our growing confidence in the prospectivity of the Kalahari copper and Iberian pyrite belt, our exploration effort will become far more focused as the identification of additional reserves within close proximity of existing infrastructure is likely to generate the best return on discretionary investment.  In Spain, we will test the mineralized extent of the recently discovered San Pedro zone at Aguas Tenidas. And all of those zones Magdalena. In parallel in Botswana, we will test an open extension of the high grade A4 deposit, undertake a medium density drilling program at A1 with the objective of identifying a maiden resource and tests numerous other targets within an economic distance of Motheo.  Rounding out our regional exploration program, we plan to drill a number of holes in Montana to test the extent of the high grade horizon that forms part of the Johnny Lee deposit at Black Butte and we'll further assess the potential of our land holdings in Portugal. Overall, this will see our regional exploration spend declined by around $12 million in FY24.  So we have a lot on our plate, but that's precisely how we like it. We generated underlying group EBITDA of $259 million in FY23 at a robust margin of 32%. And the outlook gets better from here. MATSA is performing well, Motheo is hitting it straps. We're working hard to mitigate cost inflation, and we're using our capital wisely. And together, we'll deliver more than 50% growth in copper equivalent production across the next two years, and we're excited by the exploration potential we see. So suffice to say we're energized, like our purpose, and look forward to discussing our results with you.  With that, can we please have the first question?
Operator: Thank you. Your first question comes from Daniel Morgan from Barrenjoey. Please go ahead.
Daniel Morgan: Hi, Brendan and team. Maybe just starting with, what are you hopeful to call success over the next 12 months? So when you're standing here giving the briefing in 12 months time? What is the key message you'd like to say that you've achieved? Thank you.
Brendan Harris: Look, Dan, thank you. For me, first and foremost, if output is 1.6%, and lower, and we've had no serious incidents, impacting the health and safety of our people that will probably be it. The reason for that, I think, if we're doing that, it tells me we're doing the basics, well, it tells me we'll probably be delivering the productivity we're looking for.  In addition to that, I want to see the culture that we're trying to embed, to continue to, if you'd like grow. And that really is around this simple way of working, where we very much want to empower our assets, we want to celebrate the local cultures, but we want to see those core and common elements play through. And as you would have seen in the strategy we talked to today, primarily that's around this consistency, predictability, that we know is not only valued by everyone here at Sandfire, we know it's valued by owners as well.  So really, it's about delivery. It's about making sure that Motheo ramps up successfully, as we see it, today, it is doing well. Everything is on track with regards to that ramp up profile. I think, to be honest, it's been quite a stunning success to date. But admittedly, we're only 50-50 odd days in, at least the data that were presented to you is only 50 days in. We've had a couple of issues with the filter press, they're actually being resolved with had additional plates installed. And you can see that we're not only producing healthy levels of concentrate, the trucks are departing and heading down to the port of welfare as well. So that's probably it for me, Dan, starts with the safety of our people and really around culture.
Daniel Morgan: Thank you, on Page 26 of the presentation, you talk about what MATSA is now and what it could become. What is the plan to consider the future state? What sort of timeframe are we talking about this potentially evolving? And when might we hear more? Why don't I try to JSON growth and then I'll I'll fill in any gaps.
Brendan Harris: Why don't I turn to Jason Grace and I'll fill in any gaps. 
Jason Grace: Look, Dan, from our point of view, we've made already made significant inroads to improving the overall performance and reliability of MATSA. We've invested heavily since taking ownership there on geological understanding. And with reference to Slides 27 in the pack there, this has already led to the discovery of San Pedro and the Olivo zones. But more importantly, from my point of view, as COO, we're spending a lot of work there on making sure that our ore body knowledge is superior, and that we understand what we're mining and able to predict ore body characteristics in advance of mining, which will give us further stability.  Coming back to that Slide on 26. We are investing as well on very, a lot on particularly improvement initiatives across the mine. So a metallurgical recovery improvement program, it is already delivering benefits, and they will continue to do so going into next year. And our mind productivity improvements, they're already improving dilution, as well as overall production rate. And when we bend that down with that, ore body knowledge, what that will translate to is overall stability and reliability going forward.
Brendan Harris: Yeah, thanks, Jason. I think for me, the core tenant of what we've released today, more broadly, though, it really highlights and I know it's a couple of the analysts have sort of picked up on this is the prospectivity. We see in our base business, the internal focus that we think we can bring to bear and in doing so the value that can be liberated. And of course, a very big part of that is what we see from a resource and reserve potential perspective. And the programs we have underway the success that the team's had to date.  And as I've said many times before, as we turn out that resources, I expect we will the potential to choke feed, that centralized processing facility with Magdalena and Aguas Tenidas ore, really creates an enormous amount of opportunity to think about what Sotiel could become how we could think about it. Whether or not we still think about it, there's a copper mine with byproduct credits of other metals or indeed, is it a zinc mine, that we can optimize in a different way with a different process? So it, and unlock a different level of prospective growth into the future.  There's a lot of interest in that and a lot of potential. That's what we're going to be working hard to really come to grips with over the next 12 and 24 months.
Daniel Morgan: Thank you. The last question is Slide 22, which is Motheo exploration potential. You've got a few stars the and it's, you know, how quick the distance between the targets and the processing facility, can you just outline the body of work you're going to be doing on the exploration phase? Thank you.
Brendan Harris: Maybe I'll take that one. And Richard, you can add any additional information. I've said before that loosely, because of course, it depends on what one discovers, we think 70 kilometers is, is broadly the economic trucking distance by which we can bring material back to the now developed Motheo processing facility.  We've only shown obviously a snapshot here. Indeed, we have more than 12 targets that we're actively pursuing. But the team has also undertaken and maybe Richard can expand on this a very detailed survey, to get a much better handle, I think, for the first time for anyone have the actual formation and structural characteristics of the basin, and the belt more broadly. And we think that's going to help us a great deal to further prioritize these targets.  So suffice to say, our real objective here is to make sure that we're operating at Motheo in 20 and 30 years and beyond. We've just got a lot of work to do to unlock that potential. But Richard?
Richard Holmes : Yeah, with the ore body [Indiscernible] we're obviously gaining from mining P3 and the work we've done at A4 and A1, when you combine that with the large scale AGG survey, it's given us a much better understanding of the structure of the lithological controls on the on ore body. So building a sort of basin wide model is really healthy targeting. So the targets there are there, you know, I just sort of the tip of the iceberg are the ones that are closest to the processing facility. They'll get tested first, once we've finished doing the resource drill at A1, and then we'll move further out and progressively test those more regional targets.
Brendan Harris: And maybe just to fill it in as well, Dave, bring it a little closer to home. Now, what we're excited about in the next 12 months is we're going to have one drill rig effectively going flat out, 24/7 across the year. We're going to test an extension is an extension of A4. That's of course, where we've had the great benefit in our planning. We think there's one to two years and hopefully more that we can identify there have resource reserve life.  And then of course, A1 which Richard talked to, we want to drill that at a density that we hope can give us a maiden resource, come into the mine plan. And then the objective beyond that will start to be this active prioritization of targets to really focus on where we think we can either get scale, but primarily grade to try and bring grade forward into our mind plan. And as we've said all along, but the objective for us has got to be to try and maintain that copper production above 50,000 tons per annum for as long as possible.
Daniel Morgan: Thank you very much.
Operator: Thank you. Your next question comes from Ben Lyons from Jarden. Please go ahead.
Ben Lyons: Thank you. Good morning, everyone. Maybe the first one on Motheo, please, Brendan. Firstly, obviously some fantastic physicals early doors, as the asset ramps up. So congratulations on the performance today. It's really pleasing to see.  I'm just trying to square away the capital profile between the DFS numbers that were decked, and that that let's call it $500 million of loss of mind capital that you alluded to in the preamble. Just reconciling that back to the CapEx disclosure on Slide 16, where you've given some more granularity around strip ratios, et cetera. So the question is, it doesn't appear on that reconciliation that there is any material capital increase that we're that we're calling out today. But maybe just some timing differences, like the DFS 2 appears to maybe have been accelerated a little bit, but I assume it was already incorporated in that $500 million loss of mine. And possibly, there's also a bit of smearing between what was ultimately treated as OpEx or CapEx, like those the pre strip of the A4 pit for example. But is it correct to assume there's no major CapEx escalation that you're calling out at Motheo? Thank you.
Brendan Harris: Yeah. Look, and I'll pass to Matt, to give you a broader rundown, but I think in answer to your first point, you're absolutely right. Between the DFS and what we're seeing in our plans today, there is minimal change. In fact, as I said in my introduction we're not yet seeing the impacts of inflation coming through. I think it is an allocation of OpEx versus CapEx. What we've done today is to try and if you like, increase the level of transparency.  So you'll have an even greater understanding of where those numbers are going to fall out, whether they're going to report into operating expense or whether they're going to report into capital. And indeed, as Matt, I think will tell you is the difference between what we historically talked about as being the C1 cost, and the all in sustaining cost. Those elements are all bucketed in that differential, the third stripping, particularly.  But maybe, Matt, you can just explain the slides a little more clearly. But thanks, Ben,
Matt Fitzgerald: Sure, hi, Ben. As Brandon mentioned, as you mentioned, we put out the combined DFS between T3 and A4, it's actually about this time last year. And that gave, as you said, some capital guidance. It also gave some C1 and all in sustaining. So if we look at the all in sustaining and remembering these are DFS numbers, but the relativity is still hold, as Brendan mentioned, all in sustaining is about as we disclosed in the DFS, that's 30, just over $0.30 a pound higher than unit operating costs in terms of C1, that relates through a rip about $300 million over the life of mine of sustaining CapEx, and the that is predominantly the stripping profile that we're showing you in Slide 16.  There is some complexity of course, once you get into the individual pits the P3, A4 they're dealt with separately. And that's why we split that out in terms of the deferred stripping profile. But as Brendon said, really on track, subject to any of those inflationary pressures that we may see in the next in the next little period between that sort of 5% and 10%, that Brendan talked about, but very much on track with those DFS numbers.  The life of mine capital numbers, more on the project, and then some other projections in terms of future closure costs, and those sorts of things, but certainly captured in the all in sustaining numbers. And also remembering the DFS, we also gave an overall pretax net cash flow of just under $1.1 billion around this time last year, in terms of a rounding of some of the, the economics of the project at that time. 
Brendan Harris: I think so, Matt, in reality, this is an accounting outcome, because it gets back to your assumption of life of mine strip. And you need to think about the two pits separately. If you're going to model it accurately, you can't just look at it as one lump. And we've tried to again, show that on the slide, you're referring to Ben. I think one of the key reasons as well, for us wanting to bring this level of transparency is so that people don't copy right. And then what you can see is beyond 2028, we have zero deferred stripping in the in the plan. And obviously, in the next two years from '25 and six, you start to see quite a sharp decline before you go into that real significant cutback for stage two of P3.  So look, I do hope that provides a little bit more clarity and shines a light on some of those elements for you, Ben.
Ben Lyons: Absolutely. Thank you very much both of you for the detail. That's really reassuring. Just a quick follow up on from an ESG lens in Bots, as you're thinking about DFS 2, you maintaining your very high level of ESG credentials by triple lining that facility as well, given the sensitive environment that you're operating in over there.
Brendan Harris: Yeah, look, thanks, Ben. I'll throw it to Jason in a moment. Look, we were obviously over in Botswana, Jason, our chair and myself for the opening. And we took the opportunity to go out to the cell and works very well advanced actually. And I can assure you that we will uphold exactly the same standards, which are absolutely aligned with the broader ICMM standards that we believe are particularly important for the industry and not only ourselves to follow. Jason?
Jason Grace : Brendan's absolutely right. And the design of Stage 2 is exactly the same as designed for Stage 1. So we're still holding those standards very high. And just circling back to your question before about Stage 2 CapEx. We originally had planned that we will commence that work in this financial year. What we have done is accelerate that work a little bit to around the wet season. So we learned a lot from initial construction, and particularly not to do lining of that facility during the wet season. It just adds in terms of time and cost.  So in essence, what we've set up to do is do all of the bulk earthworks prior to the wet season. And then soon as we get through the summer period, and it dries out again, we'll go into the mining.
Brendan Harris: And then just sort of completeness if I can, because I know you've followed this very closely. Ultimately cell one and cell two and the next up uplift beyond what we're doing today becomes one large one large dam across the life of the mine.
Ben Lyons: Yeah. Thank you very much, Brendan and, Jason. Just one final question around that optionality in the business that you called out earlier in the conversation. Brendan, just note the significant resource growth, it's still, it's clearly a huge resource now. And then there was a line in the slide deck about kicking off a standalone concept study for that deposit.  Yeah, clearly a different mineralization type that possibly is not ideally suited going through those existing lines that matter. But can you talk broadly about the parameters of that standalone concept study, at this stage? Do you have a conceptual mining right, that you think that that underground can be optimized to without a huge capital investment? Or are some of the processing outcomes that you're possibly considering? Thank you?
Brendan Harris: Yeah, look, great question. And then hopefully, understand, I'm not going to go there. And that's actually because there's just such a broad array of alternatives. And one of the things that, that we're trying to be very disciplined with is actually to make sure we have truly divergent thinking as we go into this concept study, to test all of the alternatives. And that includes various processing routes. You would know some other players in the region, are developing Hydromet technology to extract the polymetallic mineralization or metals from these ores. So we want to understand that as well.  I think the critical element here is that we have a fully developed mind we have a very large resource, it is, obviously a different grain size and mineral composition, then what we have at Magdalena and Aguas Tenidas. It works fine going through the current flow sheet. But ultimately, there's got to be a better way. And I do think that in the fullness of time, it does present us with another growth opportunity. We need to understand it.  So apologies. Just be patient with us, bear with us. But I do think there's going to be certainly a lot of news coming out of Sotiel over the probably the next couple of years.
Ben Lyons: Absolutely. Thank you very much. I'll pass it on. Thanks, guys.
Operator: Thank you. Your next question comes from Kate McCutcheon, from Citi. Please go ahead. 
Kate McCutcheon : Hi, good morning, Brandon, thanks for the call. There's a lot of focus on organic growth with a refined strategy in the deck. And you also caught up value per share, can I read into that, that we can count you out of the bidding for your neighbor in Botswana or anything you can say on that, please?
Brendan Harris: Look, lessons in lots of told me not really to comment on processes. I just reiterate what I've said to anyone that asked me about this over the last number of months. What you should be seeing in our deck, hopefully in what we're saying today is that we see enormous opportunity over the medium and longer term in this business. And that's code in my language for saying that the bar should be set very high for anything that we look to do that would be considered inorganic. So a very high bar for us to allocate capital outside of the business.  It doesn't mean we shouldn't look, it doesn't mean those opportunities aren't there. But you can expect that, we're very focused on unlocking the value that exists within our existing portfolio.
Kate McCutcheon: Okay, got it. I'll read into that. And then just moving MATSA. So the strategy to build stock there. Given that your mine constrained I think it would make sense to fill the mill and maximize metal or bring forward metal? I know it's not a huge amount of room stocks. But how are you thinking about that decision? Does it add more value than producing that metal now, or it's about providing flexibility that will set you up for the future?
Brendan Harris: Look, I'll pass to Jason, but maybe just a very, I guess, quick philosophical perspective. It's very hard to find high quality, resource and reserve in this day and age. It's sort of as I just alluded to, it's even harder to buy. So as I like to say, if you've got it once, valued appropriately, and keep treat it with care.  So to me, that means minimizing dilution, first and foremost, and secondly, making sure you're getting the best recoveries, you can. And we've got platform, as you saw on that slide that we talked to earlier, that really, I guess, describes how it was set that set mine up, that we think is going to set us up with the platform to grow. So we were not mine constrained, that we can grow to 4.7 and potentially beyond.  But maybe Jason, you can color that in a little?
Jason Grace : Yeah. Look, building on Brendan's points there, Kate, this is all about a value proposition. So what we do see at the moment is one of the biggest opportunities at MATSA is increasing overall metal recovery through the process. But the best way that we can do that is actually understand ore body, predict the characteristics, track it through our processes, and make sure we're giving a stable fee to that middle and that's what we're focusing on at the moment.  Once we can do that and unlock that higher metal production as a result of recoveries, we can then look at dialing up our overall throughput rate and realizing both of those opportunities.
Kate McCutcheon: Okay, got it. So it's not really fair then to say for this year that your mine constraint because you're dialing down the processing plants kind of get built anyway.
Jason Grace : If you look at it, overall, we are trying to build stocks. So this year, theoretically, we're not mine constrained. But overall, there is additional capacity beyond what we're planning to process this year in the overall processing plant.
Brendan Harris: Yeah, and maybe if I can just add that may be at risk of repeating. Ultimately, when you're running a multi-source polymetallic operation, your ability to have control of what goes into those flotation circuits and the different lines is what's going to determine your success determine the levels of efficiency and performance, you get, particularly recoveries.  If you've got no stocks on surface, then you have to put in there, whatever it comes. So actually, over the next 12 months, by establishing that 100,000 ton stockpile, that's going to give us as Jason said, that ability to have greater control in what we present to those circuits, it's really as simple as that. Once we've done that, we'd like to hold some stuff, but then, somewhere in the next 24 months, I'm hopeful we'll be in a better position to start pushing throughput rates higher, and then continue to push that through the circuit. 
Kate McCutcheon : Got it. Thank you for the color. 
Brendan Harris: Thank you. 
Operator: Next question comes from Mitch Ryan from Jefferies. Please go ahead.
Mitch Ryan : Good morning, Brendan. Thanks for taking my question. Just sort of follow on to sort of Dan's questions with regards to MATSA and the long term potential future state. You're really talking to stepping up both Magdalena and Aguas Tenidas to 2.35 million tons from each of those two operations. Conscious that we don't have a long history to look at in the public markets. But I guess what's driving that productivity improvement is the heart of my question. Are you trying to change culture? Or how do you think you'll get that improved mining lengths?
Brendan Harris: It looks so it's all linked. Everything we're doing here is linked. It starts with the reinterpretation of both the geotechnical information and all of the geological information and the establishment of that that overarching geological model. And coming out of that, or emanating from that, is the exploration success we're having. As we've mentioned, the discovery of San Pedro, very exciting for everyone here, within 100 meters of existing underground infrastructure at Aguas Tenidas at a shallower depth, if we continue to see the results we're seeing can come into the mine plan very early, 2026 is not out of the question.  We're now seeing similar things at Olivo which you would have seeing, with very attractive grades equally close in terms of access to infrastructure. We're being investing heavily in underground development. It's all about opening more mining fronts so we've got again, as we've said, more degrees of freedom. You combine that with what's possible potentially at Aguas Tenidas and Magdalena, values will then start to give you much more flexibility.  You can imagine, Mitch one of the greatest constraints on productivity is if you have a challenge in a scope, and anyone who's run an underground open scope operation, particularly in the setting that we have will recognize not every scope is perfect if you have a challenge, but you've got nowhere else to go, you lose productivity, not only of your equipment, but your people.  If you've got more degrees of freedom, that's when you have the ability to make sure everything keeps moving and keeps working. That starts to unlock additional productivity. But more than anything, it's really about getting access over time, we hope to some of these additional resources and reserves and really enabling us to choke feed that that mill from those two primary sources of Aguas Tenidas and Magdalena. 
Mitch Ryan : Thank you. That's it for me. I'll pass it on.
Operator: Thank you. Your next question comes from Kaan Peker from Royal Bank of Canada. Please go ahead.
Kaan Peker: Good morning, Brendan and team. Good to see further exploration success with MATSA Olivo. I know it's early, but sighs sort of looks relatively limited and similar to San Pedro. Is that the view the initial view is that these will be incorporated into mine plan post sort of 2026 to increase grades to the plan.
Brendan Harris: So this is the question. What we can't do is provide specificity at this stage. We need to keep drilling holes and working out the lateral extent of these zones of mineralization. One thing we haven't talked about I didn't talk about in my introduction is if you look at the diagrams on or in our presentation, you'll see the 1,200 meter hole that we put down to test the downpayment extents of Magdalena. It actually fell below the mineralized horizon we saw all the characteristics from a lithological perspective that we would hope to see.  The irony is if you are going to miss the target, and that happens in drilling, particularly deep holes in that setting, it's actually better to miss to the low side. And that's because the electromagnetics that you run work much better looking up. And what we've done, and we've only seen the initial results with that EM analysis tells us that there's a large conductor, sitting proximal to the drill hole that we need to test. But what we actually saw was interesting is the indications of a second conductor, which effectively would be down deep from Olivo.  So what we don't know until we drill it is whether, that is giving us a real indication of what is there. But suffice to say that's really going to be the focus over the coming years for us is determining the lateral extent of not only MATSA, but also now this all of ozone and working out how far we can you like extrapolate, and then start to build that into our at least our longer term mine planning?
Kaan Peker: Sure, understood. And the second question, in terms of the degrees of freedom with regards to mining that you refer to, on a guidance format to development CapEx is $91 million for FY24? How do you view this in '25, and says over the medium term?
Brendan Harris: I'll pass it over to Jason a minute to give you a little bit more of color around the planning and how we think about it. Look, I can tell you at the moment in the internal projections, development actually starts to decline quite considerably from '26 and '27, having invested heavily through '23-'24.  And it remains at a similar level and '25, and possibly 10% to 20%, higher depending on what we see. But I guess I would caution you in assuming we see this level of reduction, because as I mentioned, as we hopefully continue to have success in some of these new mineralized horizons, that'll encourage us to actually, if you like, do the work to get out to those zones, which will involve development.  So we're not going to provide specificity at this stage. Because again, it's going to be dependent on the drill bit. All I can say is we're very hopeful that we'll have to spend more money, because that'll actually be a very, very good thing for us. But maybe, Jason, if you can sort of talk about the broader philosophy.
Jason Grace : Yeah. So Brendan was right. So we had originally planned that we would have higher capital development rates in FY23 and FY24, and then start to reduce in FY25. So if you look at it, that combined capex between sustaining and underground development, longer term, we see that around or probably closer to that $100 million mark. And that's where we've been longer term.  Now, the big disclaimer on that is exactly what Brendan said, is that we, we've got so much potential there in terms of ore body extensions, and all reserve extensions, so that we do want to be in a position to unlock those and use those strategically to improve our mine plans going forward.
Kaan Peker: Sure, thank you and disagrees. Third one, and that's okay. Maybe asking the question around, Sotiel a little bit differently if you dropped out, Sotiel from the feed in the part one. How does the recoveries change?
Brendan Harris: So look, maybe just, if I can step back for a second, because I just want to make sure we also don't miss what we're aiming to deliver this year. In any case, with Sotiel still forming part of the blend, this ultimate objective of really working hard to understand every shovel of dirt, make its way into a truck to the wrong pad cost or stockpile, and then how we present it into the processing circuit.  That's really all designed to give us in the order of a 2% to 3% increase in recovery, copper recovery in our polyline. So that is one thing we're doing as a base case. But, maybe Jason if you want to talk a little bit more about, you know how we would see things played, Sotiel wasn't part of the flow. 
Jason Grace : That's it. So if you think about the contributions in terms of total tons, so it generally constitutes around that 450,000 to 500,000 tons a year. Now it is at a lower overall recovery from copper and zinc, and to a degree, some of the other byproduct elements there as well. So we would see an overall lift in that recovery. The other thing that we're I would expect to see if we took Soteil as a blenders of we would see the average grade, particularly from a copper point of view, lift as well.
Kaan Peker: So thank you. I'll pass on.
Operator: Thank you. Your next question comes from Lyndon Fagan from JPMorgan. Please go ahead.
Lyndon Fagan: Thanks for that. I'm just back on recovery at MATSA. I'm wondering whether you're able to give us a bit of a medium term horizon on how quickly you're expecting copper recoveries to pick up and what, I guess the target is longer term, given all the different ore feeds, et cetera?
Brendan Harris: Yeah, look, I don't want to go further at this stage Lyndon, because I also think it's all these things, the degree of ambition. 2% to 3%, as I said in that polyline, which is a significant component of the mix. I'm happy for us to be held to account on that, we've got to deliver that it's really important, we've got to find a way to get more cash out of MATSA, given the investment that we've put in there. But again, I'll probably leave it at that. But, look, as we learn, as we hopefully have success, very eager to give you more information as we see it playing out particularly as we understand San Pedro Olivo in any other extensions and what that means for our mind plan, and ultimately, the likely sort of mix of all fee. But for now, I'm just going to hold it at that.
Lyndon Fagan: And Brendan, is that 2% to 3% measured off? The 71% achieved last half or the 74 for the full year. What's the baseline there?
Brendan Harris: Yeah, so it's a year on year extrapolation. And again, it's for a component of the feed that relates to our polyline. 
Lyndon Fagan: Right. 
Brendan Harris: And I'm sure, then will be happy to take you through that, if you want to go into it in more detail. I understand.
Lyndon Fagan: So what does it imply overall for their business next, in '24? If you get to 3%, what's the set of all in recovery?
Brendan Harris: If Jason will go to that, thanks.
Jason Grace: Lyndon, I'll just refer you to Slide 35 of the pack that actually outlines their actual copper, copper, only copper, poly zinc and lead recoveries for FY23 actual as well as FY24 guidance. So that should give you all the information that you require.
Lyndon Fagan: Yeah, yep. That's very helpful. Thanks. 
Brendan Harris: Just while we're on that, all the appendices, please. We encourage people to have a good look, if you get a chance. We had one question I know came through offline, just around treatment charges and disclosure, those treatment charges are also separated out in those appendices if people are looking for them. Sorry, Lyndon.
Lyndon Fagan: Yeah, look, the other one just on Black Butte. You mentioned you're going to be drilling it out a bit this year. What's it costing roughly per year just to keep that option alive? I noticed it's not in the CapEx guidance slide as a specific kind of column.
Brendan Harris: Yeah, so I think if you look in there, that a big slab of that spend in that other, if you like area is Black Butte. It's is the majority, there's about 2 million of wind down if you like capital in Australia, it's close to it's close to around 10, which is not just exploration, because there's also the evaluation work that's ongoing there.
Lyndon Fagan: Great. Thanks for that. I'll turn it over.
Brendan Harris: And it's probably fair to say Lincoln, that just for completeness, again, there's a time horizon on that, we're obviously either going to find a way to convince ourselves that we really do have the project we currently see that's going to be investable, and in the fullness of time as we get the permitting approvals, finalized and obviously address the legal challenge. So that spend will either go up considerably, because we'll be building a mine. And hopefully, I've convinced you that there's a lot of economic value there, all that spend will obviously dissipate.
Lyndon Fagan: Thanks. So I'll let Lincoln know. Thanks.
Brendan Harris: Sorry, Lyndon.
Operator: Thank you. There are no further questions at this time. And I'll now hand back to Mr. Harris for closing remarks.
Brendan Harris: Thank you, everyone. I know you've had no doubt a busy reporting season. And we only spoke a little while ago with the quarterly. Just before I go, I just wanted to make mention I did say up front that this is the last results call for my colleague, Matt Fitzgerald. We haven't worked together for that long, but I've certainly seen the power of effort that Matt puts into this full year reporting process and I've been very thankful for that. But look on behalf of the board and also the board and management team and all of our people just wanted to thank Matt for all of his efforts and contribution.  He's been here for well over a decade he's seen this company through a loss. What now is a fundamental transformation and taking Sandfire from being a junior Explorer, you In West Perth to the company that it is today with international operations. I know he will look back very, very proudly in his contribution. And again, we appreciate it.  So we'll miss him out. But we all wish you very, very well in the future. And we look forward to seeing what you do after you have a break.
Matt Fitzgerald: Thanks Brendan. Appreciate it. Thanks for being on the call as well. Thank you.
Brendan Harris: All right, good day.